Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Quarter 1 2021 Gildan Activewear Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Ms. Sophie Argiriou, VP Investor Relations. Please go ahead.
Sophie Argiriou: Thank you, Rachel. Good afternoon, everyone, and thank you for joining us. Earlier, we issued a press release, announcing our results earnings results for the first quarter of 2021. We also issued our Interim Shareholder Report containing Management’s Discussion and Analysis, and Consolidated Financial Statement. These documents will be filed with the Canadian securities and regulatory authorities, and the U.S. Securities Commission, and are available on the company’s corporate website. I’m joined here today by Glenn Chamandy, our President and Chief Executive Officer; and Rod Harries, our Executive Vice President and Chief Financial and Administrative Officer. In a moment, Rod will take you through the results for the quarter. And a Q&A session will follow. Before we begin, please take note that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties and other factors, which could cause actual results to differ materially from the future results expressed or implied by such forward-looking statements. We refer you to the company’s filings with the U.S. Securities and Exchange Commission and Canadian securities regulatory authorities that may affect the company’s future results. And with that, I will turn the call over to Rod.
Rhodri Harries: Thank you, Sophie, and good afternoon all, and thank you for joining the call. We hope everyone is staying safe and keeping well. We are pleased with the company’s first quarter performance, which reflected a strong start to 2021. Our Back to Basics strategy is working and it’s supporting both our sales efforts and our profitability objectives. Operationally, our strategy is making our business less complex, more cost effective, and it’s helping us drive growth and more efficient use of capital. Further, we are encouraged to see reopenings continue. And combined with the impact of the U.S. stimulus and the strong progress of the vaccine rollout in the U.S., we are optimistic that these factors will continue to help economic activity stay on a steady track of recovery. And finally, given the company’s positioning at the end of the quarter, we were pleased to announce in our press release earlier this afternoon that our Board approved the reinstatement of our quarterly cash dividend at the same rate where we left off prior to the temporary suspension of the dividend after the first quarter of last year. The Board’s decision to reinstate dividend payments reflects increased confidence from the strong performance in the quarter and the recovery so far. Together with the outlook for the company’s future cash flow generation capabilities and the reduction of our debt leverage ratio, which I’ll cover later. Turning to the specifics of the quarter, we delivered net sales of $590 million, up 28% compared to the prior year quarter, with increases in both our activewear, and hosiery and underwear sales categories. When compared to the first quarter of 2019, overall sales were down approximately 5%. Activewear sales in the quarter totaled $485 million and were up 30% over last year, driven by strong double-digit unit sales volume growth in both our imprintables and retail channels of distribution, together with strong product mix which more than offset lower average net selling prices in imprintables. The volume growth in imprintables reflects the combined impact of year-over-year POS growth and net restocking by distributors, even though inventory levels in the channel remain significantly below 2019 levels. If we look at imprintables’ POS compared to pre-pandemic levels in the first quarter of 2019, we’re down an average in the range of 10% to 15%, which was in line with what we saw at the start of the quarter. Moving to the hosiery and underwear category, we generated sales of $105 million, a 21% increase was driven by the strength of our underwear sales with double-digit volume growth over both the first quarter of 2020 and 2019. Looking at gross margin for the quarter, we delivered strong performance, which in our view underscores the power of our Back to Basics strategy that is driving and is expected to continue to drive positive results going forward. Our reported gross margin was 32% and adjusted gross margin was 31.1%, up 650 basis points over last year. Our gross margin performance in the quarter was enhanced by an $18 million onetime payment we received in April from the USDA. Even without this 300 basis point benefit gross margin was still strong at 28.1%, up 350 basis points over last year. This onetime USDA benefit was received under the pandemic assistance for Cotton Users or PACU program, and represents essentially COVID-related government support provided to domestic users of U.S. cotton. Excluding the PACU benefit, the year-over-year increase in gross margin was mainly due to the non-recurrence of COVID-related charges incurred in the first quarter of 2021, lower raw material costs, favorable product mix and the positive impact of our Back to Basics strategy, partly offset by lower average net selling prices. With respect to SG&A, we kept our expenses for the quarter essentially flat compared to last year, despite generating higher sales. SG&A expenses were approximately $73 million or 12.4% of sales, compared to approximately $74 million or 16.1% of sales for the same quarter last year. Year-over-year reduction reflected cost savings stemming from our Back to Basics initiatives offset by higher variable compensation expenses. Adding these all up, we generated operating income of $114 million compared to an operating loss of $92 million in the first quarter of 2020, which if you recall included a goodwill impairment charge of $94 million. Adjusted operating income for the quarter was $110 million, significantly above the $20 million we generated last year. The increase was driven by higher sales and adjusted gross margin, and the impact of the non-recurrence of the $21 million trade accounts receivable impairment charge recorded in the first quarter of last year. Consequently, we reported net earnings close to $99 million, or $0.50 per diluted share, and adjusted net earnings of $95 million or $0.48 per share. Excluding the $0.09 PACU benefit adjusted EPS for the quarter was $0.39, up significantly from adjusted EPS of $0.06 in the first quarter last year, and $0.16 in the first quarter of 2019. So, overall a very strong performance in the first quarter, setting us on a good path for the year. From a cash flow perspective, we generated free cash flow of $38 million in the quarter compared to last year when we consumed $235 million of free cash flow. The increase reflected higher operating earnings or working capital impacts and lower CapEx. Free cash flow in the quarter also included a net cash impact of $30 million from insurance proceeds related to the hurricane damages we sustained in November of last year, which is a timing impact related to the replacement of equipment. The decrease in the working capital was largely due to a lower inventory build in the quarter, which was driven in part by benefits of our Back to Basics strategy, including our SKU rationalization and distribution initiatives, which are allowing us to manage our inventories more efficiently. At the same time, while our manufacturing ramp-up following the disruption caused by the hurricanes late last year, has gone well. We’re continuing to ramp back our capacity, and stronger than anticipated sales in the first quarter resulted in a lower than planned increase in inventory levels in the quarter. Consequently, we ended the quarter with inventories of $736 million, slightly up from $728 million at the end of 2020, and down 38% compared to approximately $1.2 billion a year ago. Given our free cash flow, we reduced our net debt position during the quarter to $542 million down from $577 million at the end of 2020. Our available liquidity at quarter end remained at $1.6 billion, which was where we left off at the end of the year. Our external debt leverage ratio decreased 2.1 times adjusted EBITDA down from 3.5 times at the end of 2020. However, for debt covenant purposes, after reflecting adjustments, which exclude the impact of the second quarter of 2020, the company’s net debt leverage ratio fell to 1.1 times. One of the highlights is that as of April 5, we are no longer required to comply with the restrictions and provisions established in June of last year, when we amended our loan agreements to obtain temporary COVID-related covenant relief. Further, on April 20, we repaid the $400 million 2-year term loan which was due in 2022, which we secured last year as a precautionary COVID measure. Finally, as highlighted previously, given the strength of our recovery thus far, we’re very pleased to announce this quarter that we are reinstating our dividend at its pre-pandemic level. Regarding other return of capital considerations, we expect that our board will assess the potential reinstatement of our share repurchase program, when we gain further visibility on the COVID recovery outlook, when the company’s debt leverage ratio falls well within this historical target range. That sums up the key highlights of our results for the first quarter. And before we open it up for questions, let me just touch upon the sell-through trends that we’re seeing currently. As we move from the first quarter into the second quarter, overall imprintables POS is tracking slightly better than during the first quarter, down approximately 10% compared to pre-pandemic 2019 levels. In retail channels, our sales in all product categories are tracking above prior year levels. Although, we encouraged by these trends, we’re monitoring other broader market dynamics that could affect the pace of the overall recovery. And that’s driven by large gatherings that have historically been a key driver of our imprintables business have not yet restarted. And although, re-openings continue, and the pace of vaccinations in the U.S. has accelerated nicely, we cannot predict with accuracy when large gatherings will fully come back. Further, as I’m sure many of you are hearing supply chains are being impacted by labor shortages in the U.S. affecting certain industries, including the entrepreneurs. Tightness in raw material supply is also developing and the impact of port backlogs and transportation-related issues are factored that we are monitoring. Consequently, we remain cautious in the near-term, particularly with respect to these global factors. However, as it relates to areas we have executed on and continue to drive, including our Back to Basics strategy, we’re extremely pleased with progress. And are confident that steps taken to accelerate our strategy last year and the benefits that we are seeing thus far are positioning us well to take advantage of market share opportunities, deliver on our profitability targets and create shareholder value over the long term. And with that, I’ll turn it back to Sophie.
Sophie Argiriou: Thank you, Rod. That concludes our formal remarks. Before moving to the Q&A, I ask that you limit the number of questions to 2 and we will circle back for a second round of questions if time permits. I will now turn the call over back to the operator for the question-and-answer session. Rachel?
Operator: Thank you, Sophie. [Operator Instructions] Our first question comes from the line of Paul Lejuez from Citi. Sir, your line is open.
Brandon Cheatham: Hey, everyone, this is Brandon Cheatham on for Paul. Thanks for taking our question. I was just wondering, how do you feel about your inventory position now. I think last time we spoke, manufacturing was outpacing POS. So I’m just kind of curious about the dynamic there. Did sales come back stronger than expected? Or were there some impacts from some of the things you mentioned on the supply chain side that constricted things there? Thanks.
Glenn Chamandy: This is Glenn. Our inventory position is it’s right-size. It’s lower than we originally anticipated obviously, mainly because sales were stronger than we anticipated in Q1. However, we’re still running at a good run rate relative to 2019 levels. Our current run rate is around 90% of what we ran at 2019 levels. And we’re going to continue to ramp up. It’s not – it’s been challenging, I mean, to say the least, because of the things that Rod mentioned in his commentary. But we’re well positioned. And as we continue to execute on our Back to Basics strategy, what we’re focusing on is obviously less product, less use, less complexity. So it gives us a very good opportunity to zero in on what we need. So we should be able to operate at inventories that were lower than historical levels, and yet still improve our service as we go forward. So we’re not back up to full capacity yet. And that will happen as we move through the end of the year. But I think we’re going to go through Q2 around 90% of 2019 levels.
Brandon Cheatham: Got it. Okay. And then on the labor shortages, ultimately, do you think it’s higher wages drive people back or are people just not there and what’s your outlook on that abating?
Glenn Chamandy: Well, I don’t know if it’s – you got to spend the money from the stimulus package really to be honest with you. I mean, that’s the answer, right? So we pay fair wages on our facilities. But I think that’s, [sorry, Rod?] [ph]
Rhodri Harries: Yeah, it’s the – yeah, I think if you look at, it’s really it’s the wages. It’s effectively the stimulus, the $300 a week, right, they were seeing out there. But it’s also COVID as well. And it’s also I think – I mean, there is a number of factors. People coming back into the workforce are being impacted with a number of pressures, a number of stresses. And so, I think, ultimately, the stimulus will work our way through that. And we’ll work our way through COVID. And so, ultimately, that will abate, but it’ll take a bit of time. And, we do see these pressures over the next number of months.
Glenn Chamandy: And this is mainly in our U.S. operations. I mean, in terms of our Honduras operations, they’re running well. We have ample people. Other than supplies and other things that could affect us, it’s not a people issue in Central America.
Brandon Cheatham: Got it. Thanks a lot. Good luck.
Rhodri Harries: Thank you.
Operator: Thank you. Our next question comes from the line of Sabahat Khan from RBC Capital. Sir, your line is open.
Sabahat Khan: Good. Thanks and good afternoon. In your release, you noted some distributor restocking? Can you give us some context on where in the restocking cycle you’re at? Is it broad based? Is it just people kind of testing the waters? Just some context on where we are in the cycle?
Glenn Chamandy: Well, typically the inventories that our distributors carry are go-forward inventory. So normally, they would increase their inventories as they go into season. But to put things in context, our inventories are about 40% below levels of 2019, even though we have some restocking. So they were very low at the end of Q4. And they’re still significantly below where we were in 2019 levels. And I feel they’re lower than, I will say, they’re normal, really normal low that they should be at this time of the year. So the stocking that we did have, I think would be relatively – it’s not overstocking. It’s stocking that’s required to support the seasonality of the business in Q2.
Sabahat Khan: And then, just a quick follow-up on that, I guess, what are distributors, I guess, kind of waiting on? Is it just improved visibility or is it maybe they’ll just do a bit more just-in-time going forward? Demand obviously looks like it’s picking up. I just want to understand that, there’ll be more of a gradual rebuild this time versus some of those large restocking quarters we’ve historically seen.
Glenn Chamandy: Well, I mean, look, it’s hardly – I mean, sales are strong. POS is starting to improve. I mean, one thing we’re starting to see is we’re starting to see basics products come back. And then our sales have been driven really by fashion t-shirts, and fleece, which are actually positive in POS. And where we really see the drag so far on our minus 15 and now minus 10 is more on the basic side and we’re starting to see some – those are larger orders typically that you see floating around and we’re starting to see some of that come back. So we think as we go through this market continues to open up, sales will continue to improve. We’re tight on capacity. So those inventories were going to stay tight until we exit Q2 and move into Q3 and Q4.
Sabahat Khan: Great. Thanks very much.
Operator: Thank you. Our next question comes from the line of Vishal Shreedhar from National Bank. Sir, your line is open.
Vishal Shreedhar: Hi, thanks for taking my question. I guess, you already hinted at it in your remarks. But broad-based inflation seems to be seems to be topical, wondering how much latitude Gildan thinks it has to increase price if need be, and did Gildan take any pricing or promo action in the quarter?
Glenn Chamandy: Well, we’re still taking our price leadership position in the market. So we’re pricing as we’ve been pricing for the last 3, 4 quarters. And, yes, I mean, look, we think that our industry is capable of taking price increases. But one of the things that’s also occurring, as we leverage our Back to Basics strategy is that we’re lowering our cost structure. Our manufacturing costs [risen now] [ph] despite inflation are coming down. As we streamline our operations, our SGA is coming down as a percentage of sales. So, overall, what we’re targeting is to drive ourselves to what we think is the 18% operating margins. And we’ll do a combination of – we’ll see how we get there, but we have room we think to continue to price aggressive and offset some of the inflationary costs with our manufacturing cost savings and our SG&A leverage is to achieve our goals as we move into the future. But we also have the opportunity to raise prices. We think it’s required. But we have a lot of flexibility as we move into balance half of this year and into next year.
Vishal Shreedhar: Okay. And given that there’s a lot of room for wholesalers to restock. And given that Q2 POS is tracking down about 10%, is the subtext there that Gildan’s trends should exceed POS in the interim, as these wholesalers restock, given optimism about large gatherings, coming back, call it in a few months?
Glenn Chamandy: Yeah, I don’t think it’s – we’re going to have an opportunity to restock inventory in the channel. I mean, we think that our own inventory levels will be pretty similar at the end of this quarter as they are in the beginning of the quarter. And like I said before, we’re running at a rate of about 90% of 2019 level. So we will look it that way. And so we’re tight on capacity as we move into Q2. If you look at where we are now in April, plus the supply time it takes to produce goods, I mean, the quarter is going pretty quick, right? So we have pretty good visibility I think where we are. And we’re going to continue to wrap up as we move through the year. I think that’s the more important thing is that we’re comfortable the way we see the market evolving. We’re pretty much tracking in line with the market in terms of where our capacity currently is and where the market POS is. So that’s a good thing. And as we move into Q3, we should be able to continue to take opportunities that markets have recovered, and our capacity continues to increase. So that’s where we will look at as we move through the year.
Vishal Shreedhar: Thank you.
Operator: Thank you. Our next question comes from the line of Chris Li from Desjardins securities. Sir, your line is open.
Chris Li: Good afternoon. Just – maybe first question on the gross margin, obviously, very strong in the quarter, can you maybe talk about your gross margin outlook for the remainder of the year? Do you expect to build on that margin improvement from Q1?
Rhodri Harries: Look, our gross margin was very strong, if you look at 31.1%, if you exclude the PACU 28.1%, I would say, we’re very pleased with the margin. I think as we go forward through the year, there’ll be some puts and takes, right? So, effectively, we probably see a little bit stronger mix coming through as we continue to push forward with the overall recovery. But at the same time as we noted, right? It is an environment where there are some inflationary pressures. As we get to the back end of the year, obviously, what we do with the raw material costs. And so there are a little – some things that will drive margin out there, some things that we have to work with as well. So I think overall – I think, what we’d like to do probably is try to hold at levels which are close to where we are Q1 as we move through the year, we’ll see.
Chris Li: Okay. That’s very helpful, Rod. And another question, I know this is a very tough 1 to answer, because nothing has been decided yet. But the concept of the global minimum tax is very topical these days. If it does get implemented, it could potentially cause tax rates to rise across the board. I guess, my question is, what are your thoughts on this? And what levers that Gildan have to mitigate the impact if it does get implemented?
Rhodri Harries: Well, I would say, Chris, I think, it’s very early in the overall discussion of the – if you look at a minimum tax on a global perspective, and we were like everybody else, we’re just monitoring what’s going on. We’ll see how that unfolds. Right now, we don’t see any significant impacts based on what we’re aware of most monetary situation as we go forward.
Chris Li: Great. Thanks for the answers, and best of luck.
Operator: Thank you. Our next question comes from the line of Mark Petrie from CIBC. Sir, your line is open.
Mark Petrie: Hi, good afternoon. Thanks. Sorry, Glenn, can you just clarify your comment with regards to distributor levels? Wasn’t clear to me what you’re referring to, but something was about 40% below levels seen previously. Could you just clarify?
Glenn Chamandy: Yeah. So the inventories in the channel are roughly 40% below 2019 levels, and pretty much same below 2020 levels, too, because is it really booked 2019 and 2020.
Mark Petrie: Okay. Thanks. And, I guess, just broadly – you’re not seeing large scale events resume at least just quite yet. But can you just sort of walk us through what you’re seeing or hearing with regard to other end markets, including some of the pockets of demand or markets that accelerated or developed through the pandemic?
Glenn Chamandy: Well, I think those markets developed during the pandemic, the online, the casual at home, leisure, all those things have driven share, I think, during the pandemic, are continuing to drive share. I think, as we see pickup right now from Q1 into Q2, I think it’s a little bit more of the recovery of gatherings. I mean, look at the Kentucky Derby, it wasn’t 130,000 people with that 50,000 people. We’re seeing some baseball games with large crowd. So definitely, things are starting to open up. And I think that will only continue to improve as we move through the balance of the year. I don’t see the other part of that business going away, I think that’s what we discussed last quarter is that I think that the overall market is going to expand, our universe is going to expand, as we really have a full recovery, because you don’t see that we created new opportunities and new channels of sales through online selling. So hopefully, that faster recovery happens, and maybe we’ll see a leader market, more opportunity.
Mark Petrie: Okay. And then just the follow-up, I think, it was Chris’s question with regards to the gross margin. Rod, thanks for the comments for the expectations for the balance of 2021. I’m just thinking back to sort of your 30% gross margin target. And I know that you’re sort of pivoting to focus people more on the 18% operating margin target. But nonetheless, should we think about upside from that gross margin, as revenue rebuilds to 2019 type level? Or what is the lever to see further upside from gross margin today?
Rhodri Harries: Well, I think, he said it’s actually, Mark, and we’re really focused on that 18%, right? So I think, that’s what we’re really driving to deliver with the Back to Basics strategy. And, I think, if we get back to 2019 sales level, we like our chances to be able to deliver the 18%. So I think, as we go forward, we will see it come from gross margin, we’ll also see it come from SG&A. But that’s what we’re really working effectively to deliver. And then also goes it’s also combined together with the growth in the volumes, it’s all plays together. So, I think look – I think we’re happy with the progress that we’re making with our overall strategy. I mean, if you look at what Back to Basics is delivering force, both in gross margin and SG&A. I mean, we really are seeing very strong benefit. And we’ll see it, I think, in both areas as we go forward and that will flow through the operating margins. And again, we get back to 2019 levels, I think, we feel very good about hitting that 18%.
Glenn Chamandy: We’re going to leverage that for top-line growth as well, because I think that’s the point here is that we’re focused more on all of those factors, as well as make sure that we have top-line growth. So we can leverage our low cost manufacturing these cost savings to achieve our company’s operating margin targets and growth sales. So that’s really what the Back to Basics is all about.
Mark Petrie: Yeah, understood. I appreciate all the comments, and I wish you all the best.
Rhodri Harries: Thank you.
Operator: Thank you. Our next question comes from the line of Jay Sole from UBS. Sir, your line is open.
Jay Sole: Great. Thank you so much. Just want to follow-up on some of the margin questions talking about SG&A. SG&A dollars were down pretty significantly versus not just 1Q of 2020. But also, 1Q of 2019 is against the second quarter. Obviously, there’s the comparisons get a little bit different, because SG&A was down so much last year, but how should we think about the SG&A dollars in Q2 versus Q2 of 2019? I mean, can we really see them down as much as they were in terms of just total dollars versus 2Q 2019? Or is there going to be more like a bounce back, so the dollars should be a lot closer to 2019 level? Thank you.
Rhodri Harries: Yeah, I think, if you look at 2019, we haven’t really seen the benefit of Back to Basics really flowing through in the SG&A side. So if you do look at where we’re running in the first quarter, I think as we go into Q2, we’ll see a little bit of some increase with respect to distribution costs, look, we have the SG&A well under control, as we work towards that that 12% target. So the delta which you’ve seen between 2019 and where we currently are in the first quarter, I mean, that’s all Back to Basics, it’s all come out of this system, I think, we’ve done a great job on the SG&A side to reduce it. And so, we – I mean, again, we feel very good about our ability to deliver on our target this year.
Jay Sole: Got it. Okay. Thank you so much.
Operator: Thank you. Our next question comes from the line of Luke Hannan from Canaccord. Sir, your line is open.
Luke Hannan: Yeah, good afternoon. First 2 for me, it’s on the competitive environment. Glenn, I know, you’ve touched on it earlier, you’re still sort of the price leader in the imprintables channel. But I’m curious to see, are you seeing anything from your customers in terms of how they are reacting? Are they choosing to compete on price as well? Or what are you seeing there?
Glenn Chamandy: Well, we’re continuing to take a price leadership in that category. So we are, I think, the low price in the market. But at the same time, look at it, we – there’s also other suppliers and competitors that don’t have availability of product. And, I think that, in general, the inventory in the marketplace is relatively tight, amongst all user, all supplier, so people are skeptical to lower pricing with tight on inventory. So, we’re taking their strategy of everyday low price, and we’re going to continue to do it, we’re seeing market share growth. Even though, we’re down 10 to 15, or down 10 now, we know from statistics within the market that we’re actually gaining share. So that’s sort of our strategy, we’re going to be consistent in our approach and focus on top-line growth to drive market share.
Luke Hannan: Okay. And 1 more for me, just, you’ve all seen the headlines on how COVID is playing out overseas? So I’m curious to know on the build out of Bangladesh, is there a – do you see any risk on maybe there being a labor shortage for continuing to build out that facility? Or do you see any risk may be on the timeline for that being pushed out when that might be completed?
Glenn Chamandy: Well, right now, we’re still on time with Bangladesh to support 2023, start the construction of the project was moving along. Bangladesh does not have the same type of COVID environment that India does [Technical Difficulty] had a much greater percentage of vaccines in Bangladesh, and they have nearly 8% of the population has been vaccinated already. So a little bit different environment, things were getting a little bit worse last month, but during Ramadan and shutdown right now, and things are improving. So we were – the environment there is a stable and proven, I would say, as we see it today, obviously, there’s no crystal ball in this pandemic. But so far things so good, and then we’re on track to support 2023. We’re also in the process of re-configuring our Mexican capacity into Central America, which we dismantle at the end of last year. So, we’re still on track to put incremental capacity in Central America as well. So, we feel that we’re in good shape to support future sales as we go forward.
Luke Hannan: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Stephen MacLeod from BMO Capital Markets. Sir, your line is open.
Stephen MacLeod: Okay, thank you. Good afternoon, guys. Just a couple of questions, you’ve covered a lot of ground here, but a few things that I want to dig in on. You mentioned that in previous quarters, you talked about sort of your underwear market share gains, and I’m just curious if you think that based on how the underlying market performed, whether you continued to gain share in Q2 on the underwear side at retail?
Glenn Chamandy: Well, we definitely gained share in retail that we’re up between 20%-plus in underwear, right. So, it’s going very good. I mean, I think that underwear is on track and ahead of expectation.
Stephen MacLeod: Okay. That’s great. Thank you. And then just wanted to clarify some commentary on the gross margin, you’re clearly well on the way to exceed your 12% SG&A target, and you talked a little bit about 18% operating margin target, but with gross margin expected to continue to trend sort of in line with the adjusted Q1 for the balance of this year. Do you think it’s achievable to meet your 30% target in 2022?
Rhodri Harries: Again, Stephen, I mean, what I would say is, we get back to the 2019 sales levels, I think, we feel very good about that 18%. So, I think, as we said earlier, right, working both the gross margin and the SG&A effectively, we feel very good about it. So, I think, we have, again, because Back to Basics is driving both sides of the equation. Bottom line, we do feel good about gross margin and SG&A, and as Glenn said earlier about our ability to drive volume that’s key. With the Back to Basics we can – we get the cost reduction, we get the prices down, we get the volume, we get the operating leverage, we get better gross margin, we got better SG&A everything works. So we’re really pleased with the whole strategy.
Stephen MacLeod: Right. Okay. Great. Thank you.
Operator: Thank you. Our next question comes from the line of Brian Morrison from TD Securities. Sir, your line is open.
Brian Morrison: Hi, good evening. Thank you. A couple of follow-up questions, Glenn or Rod, are you able to quantify you said the channel is 40% below 2019, 2020 levels? Are you able to quantify that amount?
Glenn Chamandy: Just over $100 million.
Brian Morrison: Okay. And then, in terms of the underwear commentary, and specifically private label, I think last time, you had mentioned that opportunities were somewhat on hold during the pandemic. I’m wondering, as the social restrictions start to ease or the pandemic gets a little less in the U.S., in particular, if you’ve seen any progress with respect to opportunities in this vertical?
Glenn Chamandy: Well, yeah, so I mean, we’re working with our partners for future opportunities. So there’s – Brian, I don’t want to say anything concrete, but we’re definitely looking and working on future growth opportunities to align ourselves to as we move forward into 2022. And we’re very comfortable that all of the 4 pillars of our growth, creating really in our North American printwear, our international sales, as well as both our private label and our own brands with retail, we think that all of these areas are going to see significant progress as we move into 2022, we’re poised in all areas.
Brian Morrison: Okay, and then last question is in its high level, Glenn, just your POS is tracking down 10%, yet the imprintable drivers, you look at tourism or sporting events, they’re still very limited. So I just want to understand like what is filling this void? Is it – I understand some of it’s got to be online, and some of it’s got to be national accounts, but what’s filling that void? And then, in terms of national accounts, are you seeing more movement towards onshore and is this something that could be permanent market share gains?
Glenn Chamandy: Yes, look, retail in general, retailers are selling more t-shirts probably than they sold pre-pandemic, because people are going to the fair, so some of that is maybe dipping a little bit I would say, because just people are only going to buy so many shirts a year, right? So, and they have to buy them because they’re staying home when there’s more leisure, et cetera. So they’re looking for places to go get them. They’re buying online. They’re buying them at retail outlet, right? So that’s what’s happening. So – but net-net, I would say, that the overall market is growing because of the onset of online, the availability of people to buy screen printed t-shirts. Digital printing has given the opportunity for people to buy onesies and twosies that they can never get before. So the market has grown. And as I said earlier is that when it recovers, we just don’t know how much of a comeback and how much of it will recover, but it’s definitely is going to be very opportunistic for us, I think, as we move in. And as far as the supply chain, I guess, more domestic supply, I think that’s also going to be a key factor. Look, at a lot of the products that we sell at our outlets, they’re in our warehouses. We carry the inventory. So taking the risk to go buy it from Asia, you de-risk this whole thing. And all of our shirts, regardless of what brand you’re buying, and basically, we have our – we have products for every outlet. We have fashion shirts, basic shirts, so – and they all have tearaway label. So it’s very easy for any fashion brand to basically take one of our products, tear the label out, put their brand in and resell it to consumers. So we’re well positioned I think even from the supply chain to continue growing both from a label printwear perspective and as well as to support our global lifestyle and our retail partners.
Brian Morrison: Thanks very much.
Glenn Chamandy: Thank you.
Operator: Thank you. And our next question comes from the line of Jim Duffy from Stifel. Sir, your line is open.
Jim Duffy: Thank you. Good afternoon. A couple questions for me. Rod, to start, revenues in the first quarter relative to the first quarter 2019, activewear down 2%, hosiery and underwear down high teens, do you expect that rate of change relative to 2019 will continue to improve? Or was there some benefit for restocking that may have made that artificially high in the first quarter?
Rhodri Harries: Yeah, Jim. We did talk a little bit about that restock in the first quarter, right. So from a distributor perspective, we saw above $50 million restock impact in the order effectively. If we look at Q2, I’m not so sure that we’re going to see that given the way things are unfolding. So I think that’s one benefit I would call or one difference I would call out, Jim.
Jim Duffy: Okay. And then, a question on the channel partner inventories. You guys have spoken about the printwear market 40% below 2019. Can you comment on where it stands with the retail channel partners? Are retail channel partners yet restocked to be up with demand? Or are there more quarters you think of supply chasing demand in the retail channel for the hosiery and underwear business?
Rhodri Harries: I would say that in balance relative to the size of the business we have, because obviously our underwear business is much larger today than it was in 2019. So we’re just looking for inventory to support those larger sales folks in balance.
Jim Duffy: Okay, thank you.
Operator: Thank you. There are no further questions at this time. I will now turn the call over back to Sophie. Please go ahead.
Sophie Argiriou: Thank you, Rachel. Before we leave you off, just a quick reminder that we will be holding our Virtual Annual Shareholders Meeting tomorrow at 10:00 AM Eastern Time. So with that, I’d like to thank you again for joining us today and we look forward to speaking to you very soon. Have a good evening.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.